Deborah Belevan: Good evening, everyone. Welcome to Duolingo's Third Quarter 2025 Earnings Webcast. Today after market closed, we released our Q3 shareholder letter, which you can also find on our website at investors.duolingo.com. Today, we have Luis von Ahn, our Co-Founder and CEO; and Matt Skaruppa, our CFO. [Operator Instructions] Please note that this event is being recorded. [Operator Instructions] As a reminder, we'll make forward-looking statements regarding future events and financial performance, which are subject to material risks and uncertainties, some of which these risks are set forth in our filings with the SEC. These forward-looking statements are based on our assumptions that we believe to be reasonable as of today, and we have no obligation to update these statements as a result of new information or future events. Additionally, we'll present both GAAP and non-GAAP financial measures on today's call. These non-GAAP measures are not intended to be considered in isolation from, a substitute for or superior to our GAAP results and we encourage you to consider all measures when analyzing our performance. And now I will turn it over to Luis.
Luis von Ahn Arellano: Hi, everyone, and thanks for joining us today. We had a strong Q3 with solid performance across all metrics, and we're on track for another exceptional year. More than 50 million people now use Duolingo every day. And we're guiding to nearly 1.2 billion in bookings this year with 33% growth and an adjusted EBITDA margin of 29%. Putting that all together means that we have rapidly scaled our impact while expanding profitability. And yet, we still feel early in our journey. We believe AI will fundamentally transform education, and we have line of sight to building a product that teaches better than ever before. That's what makes this such an exciting moment for Duolingo. And now we'll take your questions.
Operator: [Operator Instructions] Our first question will be coming from Bryan Smilek with JPMorgan.
Bryan Smilek: Luis, just to start, can you just help us better understand the underlying drivers of DAU growth in the 4Q and engagement overall? And how close do you think you are to getting back on track in terms of marketing in the U.S.? I know you mentioned growing impression volume. But is that starting to translate to user growth now? Or how should we think about that into the fourth quarter?
Luis von Ahn Arellano: Yes. Great question, Bryan. Thank you. So we just posted 36% year-over-year growth for Q3, and we're happy with that. There's puts and takes of how we got there. I mean, on the positive side, we have things like the locking partnership that we just -- that we talked about in the shareholder letter, which helped us grow users in Asia quite a bit. We also had a number of product improvements that helped with retention. So that was great. On the other side, just like we said last time, we passed all the unhinged posts in our social media for a bit because we were listening to our community and trying to build brand love. And when we don't post unhinged things that basically our posts were much less likely to go viral, and because of that, that did have an impact on DAU growth. The good news is that over the last few weeks, we have started the unhinged posts again in our social media accounts. And while it hasn't gotten all the way to the peak where it was, we've seen a lot of recovery. So that's really starting to show up. And we do expect that to affect DAUs positively. In terms of Q4 for DAUs, we expect some amount of deceleration from Q3 but we're pretty happy with where it has stabilized. What I'll say -- we're not guiding to Q4 DAUs, but what I'll say is that September and October were both at around 30% year-over-year growth for DAUs. And that's comping a pretty strong quarter last quarter -- last year.
Bryan Smilek: Great. That's super helpful. And I guess, Luis, you also mentioned 3 core areas: monetization, user growth and just teaching efficacy overall. Can you just elaborate on really what's driving the decision to shift investments towards long view? Is it the AI opportunity or how should we just think about this impacting bookings growth? I know you've obviously talked to 25% plus as your North Star years ago. So just curious how do we get back there over time?
Luis von Ahn Arellano: Yes. I mean, look, we're -- like you said, and like I said in the shareholder letter, there's a huge opportunity right now. We see a huge opportunity -- over the next few years, education and the way people learn, they're going to change fundamentally and it's because of AI. And also because of AI, we see -- we have line of sight now to create an app that can teach really, really well, much better than anything that humanity has seen before. As good as a human tutor, but that is also more engaging. And if we're able to do that, right now, we have, I don't know, we just posted 135 million monthly active users. If we're able to do an app that teaches just that well, way much better than we have now, we will be talking about billions of users that we have and that's what we want to shoot for here. So this is why we are investing in the long term. And what that looks like is that we are putting relative -- more relative investment in things like teaching better, which -- teaching better -- if we teach better, what that does is that, that helps user growth, but there's a lag. Just whenever you improve your courses, users do grow, but it takes a while for that to happen. And then user growth, there's a lag to get to monetization because people take some time to subscribe. So this is kind of a long-term thing, but we're very bullish on this, and this is why we're doing that. And the goal here is because the opportunity is so large, the goal here is to be growing DAUs fast for a very long time.
Operator: Our next question will come from Nathan Feather with Morgan Stanley.
Nathaniel Feather: Given the scale of the opportunity ahead that you're talking to, is the focus on greater long-term prioritization, a durable shift in strategy that we should expect to continue? Or would you plan to return to the current prioritization mix at some point? And then in connection with that focus, should we expect the pressure on bookings that you're seeing in 4Q to continue into next year with the durability of that shift?
Luis von Ahn Arellano: Well, okay. So the -- for -- it's going to be years until we get to a point where we have an app that I think is just the best possible way to learn any major subjects. So we will be investing for a while. And that's important to know. I should say, though, we're not really guiding for example, to next year, but we're very excited about a lot of the initiatives that we're going to put out in the product for next year. We're going to have much better video calls that are for beginners. It's something we're calling guided video calls. The app is going to be a lot more social. We're going to have all the -- right now, the math course only has a little bit of content. In the next few months, we're going to have all of the common core K-12 content in the math. Our chess course is going to have player versus player and it's doing super well and growing really fast. We're going to have a full revamp of our music course. And for the top 9 languages that we teach, we're going to be able to teach from 0 to Duolingo score 130, which is where you can get a job in that language. So there's just a lot of things that we're very excited about. And I don't know, Matt, if you have something to add to that.
Matthew Skaruppa: Yes. I think, Nathan, I want to put it back in the context of kind of what we've said before. So we've talked to you all and our investors for a long time about wanting to maximize platform LTV. And what Luis is describing is a change of small proportion right now that is going to help us grow users for a long time, get users to do more lessons, learn or spend more time on the app and, in general, be more engaged Duolingo users. And we think that if we do that and we do that effectively, we'll both grow users for a long time and will increase platform LTV for a long time. So I think that will -- we're down to bookings and the financials ultimately as well. I think there's a -- we guided to a really strong 2025. There was a -- so we think that this can exist like it has strong financial performance. And this is just a balancing act that we've always done, and we're telling you all that we want to make sure that at the present moment, we're balancing it so that we can grow really rapidly for a long time in the future.
Operator: Our next question will come from Wyatt Swanson with D.A. Davidson & Company.
Wyatt Swanson: I'd love to hear a bit more about how the new chess course is progressing. I think at Duocon, you mentioned millions of daily active users. On that front, do you see any differences in engagement or retention for users in the chess course versus your core language forces? And as it relates to that, kind of curious about your new PVP offering? Can you talk about like when you expect that to be fully rolled out?
Luis von Ahn Arellano: Yes. So needless to say, we're very excited about chess. It is the fastest-growing course that we had. It's growing much faster than math and music and faster than the way originally languages grew. It's true we have millions of users. We're not saying exactly how many, but it is -- it's already surpassed math and music. The retention of chess users, it hasn't been around for all that long. Our chess course has been around for 3, 4 months. But so far, from what we can measure over the last 3 to 4 months is slightly higher than language learning and so we're very happy with that. We also -- as we mentioned, we started rolling out PVP. That means player versus player, so people being able to play with other people. At the moment, 50% of users on iPhones, on iOS can see it. It's not yet on Android, but it's going to come out on Android pretty soon. So we expect that within the next few weeks and small -- few weeks/small number of months, every person that has the Duolingo app will be able to do PVP chess. And over the next year, we just -- we expect quite a bit of growth from chess, and I'm very happy with it.
Wyatt Swanson: Great. And then just one quick follow-up. What does prioritization of user growth instead of monetization look like? And how should I think about the actual changes in the app?
Luis von Ahn Arellano: Yes. I'll give you an example. That's just -- okay. We've always had to make trade-offs between -- whenever we run an experiment, some experiments improve all metrics. Great. That's an easy call, just launch it because it improves all metrics and that happens. But there are times when experiments improve one metric but hurt another. I'll give you a fictitious example. If right now, a free user -- free users get 25 energy units at the beginning of the day and every exercise that they do spends 1 unit. If we were to do an experiment that decreases that from 25 to, say, 24. That's 1 fewer unit of energy per day. We know that would make us more money. It just does because more people run out of energy, so more people end up wanting to pay to subscribe. However, we also know that would decrease daily active users because it would frustrate some of the users. We've always had to make decisions about different judgment calls about this. What we mean is that what we -- the change that we are doing is that we are going to be prioritizing user growth over monetization in this type of judgment call. So in the fictitious experiment that I just gave you, we would not launch that experiment going from 25 to 24 energy units even if it meant quite a bit of bookings gains, if it has a real hit on daily active users. That's the type of stuff that we're doing now. And again, just to remind you, the reason we're doing this is because the opportunity ahead is so big that it's just good for us to grow fast for a long period of time.
Operator: Your next question will come from Ralph Schackart with William Blair.
Ralph Schackart: Luis and Matt, kind of going back to the line of questioning here. I guess maybe the question is like why now, what signals are you seeing on the shift or maybe the semi shift focus more on growth over near-term profitability as AI advancements, kind of what's prompting this? And then can you give us a sense of the duration of this pivot or shift? Is this something it's going to take -- I don't know all through 2026? Is it more short term in nature? Anything you can add there would be great.
Luis von Ahn Arellano: Great. As to why now is -- I mean, it's a great question. The reality is that over the last couple of years, it has just become progressively clear and clear that we are in a unique point in time, particularly with education in terms of how education is going to happen in the world and also how well we can teach at Duolingo. We just see it in our own metrics in how fast we can put out content with things like video call. We just see how much it is improving every month. And so that just kind of has been coming for a while. And what has happened is that over the last month or 2, I've really rallied the company towards this shift. And really, it's like, okay, it's not like it was one day where I woke up and decided let's do that. It's just -- we really rallied the company to say look, opportunity is huge for us, let's prioritize, making sure that we can grow for a long period of time and also making an app that can teach really better than anything that we've seen before. As to how long this is going to take. This is -- it's an interesting question. I mean, I think you're asking something to the effect of like, well, is this going to hurt bookings and is this going to hurt bookings forever? I don't think that's the case. It's just -- it's going to take some time for us to see results -- financial results over these long-term investments that we're doing. But we're going to be acting for a while like there is a humongous opportunity because there is one until we get it. But I think we're going to be seeing good results from this even much sooner than that. So it's not like our -- we're saying, oh, throw away all the bookings or anything like that.
Matthew Skaruppa: Yes. I think the only thing I'd add to that, Ralph, is that, I mean, you've seen us navigate this trade-off over the past 3 years as well, users have grown 55% per year on average over the past 3 years, and bookings has grown about 45%, and all of that while we were making similar trade-offs. And now we're just slightly focusing a little bit different as we navigate those. So it's not that we haven't been making any of them. And you've seen that like in the rest of the year guide and the Q4 guide, there was a small impact to this. It's not that big. And so would we expect some of that to persist into 2026? Sure. But again, I think as a general framing of this, it's a relatively small financial impact from this kind of reprioritization. And we think that, that's worth it because, as Luis said, it's a huge opportunity. So the risk reward seems right.
Operator: Your next question will come from Alex Sklar with Raymond James.
Alexander Sklar: Just following up on Wyatt's question and maybe, Ralph's, your remarks to Ralph at the end there. Just in terms of framing how meaningful some of these changes might be, is it as simple as maybe focusing a little bit less on paid conversion just to improve the premium experience today? Or are there kind of broader thoughts about maybe moving video call down into some of the lower packages? And then I've got a follow-up.
Luis von Ahn Arellano: Okay. So a way to see this is what you said first. It is as simple as in some of the experiments which, by the way, not every experiment, many experiments we run, just improved our metrics. This is good. In some of the experiments where judgment calls are needed, we're going to shift the balance a little bit more towards user growth. It's not a humongous change, but it is a change. In terms of are we going to move video call to other tiers, et cetera, that is likely to happen, at least we're likely to attempt to do that, but that is unrelated to this. We were anyways -- we're always thinking about moving different features in the different plans and we'll test that. It may be the case that, I don't know, video call, but it may be the case that some of the Max features are better in super or even in the free tier, and we'll test all of that. And while we test that, we are trying to optimize lifetime value of our like platform LTV. We're trying to optimize for that. So you may see us test stuff like that.
Matthew Skaruppa: Okay. Alex, I'm glad you said the free-to-pay conversion because that's exactly how like it really manifests in the business. And I just want to make sure we're clear on this. So for example, when Luis said over the past couple of months, he mobilized the company. In September, we saw some of this and what it looked like was slightly lower free-to-pay conversion, but that free-to-pay conversion was still growing year-over-year. So it's still good free-to-pay conversion. It was just on the margin. It was slightly lower. So I think that's an example as you think about the financial impact. You're right to point out that that's how it would flow through.
Alexander Sklar: All right. That's great color there. And maybe for a follow-up, Luis. Just on the last call, you brought up this idea on video call about average number of words spoken per session. And that was kind of a new metric you were going to start testing towards. What have you learned so far now that you've kind of been optimizing for that metric? And then what's kind of the time line to get some of the changes into the product as a result?
Luis von Ahn Arellano: Thank you for asking that question. So yes, this is actually a great metric and we've managed to move it. This is important to know about our company. Whenever we fixate on a metric, we are very good at moving it. And this particular metric, we have been moving at -- it's more than doubled this year in terms of average number of words spoken per Max subscriber and so we're very happy with that. In terms of changes to video call that you'll see coming soon, one that I'm very excited about is video call at the moment is a monolingual experience in the language that you're learning. So if you're learning Spanish, it's all in Spanish. That's great for practicing Spanish. But for beginner users, it's too hard. If you only know 20 words, it's very hard for you to have a full conversation just in Spanish. So the thing that we're testing now is these things we're calling guided video calls, which are basically bilingual. So it's -- if you're an English speaker learning Spanish, this would be part in English, part in Spanish, and it's a lot easier for beginner users. We're seeing that when we give that to beginner users, they actually speak more words per call because they're actually able to do something. And so we think that this is going to really help with Max conversion, by the way, I should say 2 things. Most of our users and certainly most of our Max subscribers are beginner users. And so we really think this will help with mass conversion. The other thing that I'll say is that these guided vehicles, we are not advertising them yet or we're not using them converting users into Max subscription yet. So we've put them out and the next step is kind of to tell nonsubscribers that these exist so that we can get them to subscribe. So we're pretty excited about what that can do to Max.
Operator: Your next question will come from Ygal Arounian with Citi.
Ygal Arounian: Just on AI and making education sort of better than ever, the way you're talking about things. Can you just -- does that accelerate your road map in terms of adding new language learning modules. I know within the ones that you currently have, but moving into new subjects and -- what is it about what's changing right now around AI that's letting you do that today?
Luis von Ahn Arellano: Yes, the types of things you will see. It definitely accelerates our road map in more coverage of languages. That doesn't mean new languages. The reality is languages, it's very love sided what languages people want to learn. We now teach 40 languages. The rest that we don't teach is very little demand for them. But the top 9 languages that we teach, these are kind of like the Spanish and English and French and German and Italian like the big languages that people want to learn. The top 9 account for the vast majority of our users. And what you'll see us do is you'll see us go faster in terms of adding content to these top 9 languages. And right now, for most of them, we don't get you to the place where we want to get you, which is the Duolingo score of 130 in which is equivalent to CFR level of B2, which is where you can get a knowledge job in that language. You will see that over the next few months, we're going to be adding content that can do that for all the top 9 languages. The other thing that you'll see is you'll see us just at a lot more different modules in the way we teach languages that are just a lot smarter at teaching you. I mean they're going to adapt a lot better to you. And you're also going to see us just use a lot more things that use AI in the background to allow for many more free responses, so that it adapts a lot more to you. In terms of -- we're going to also be using AI for other subjects. We're using it pretty heavily for math for getting a lot more content out there. So we're going to do that. In terms of adding other subjects, at the moment, we're not working on any other subjects. I'm not going to say that we're not going to add other subjects next year. That may be the case. Like you saw with chess, it took us 9 months from idea to actually launching. So it is possible that we'll add other subjects next year, although a little unlikely, but it is possible. But at the moment, we're not working on any other subjects.
Ygal Arounian: Okay. And then maybe sort of another broad one on AI. Can you just talk about what you're seeing around compute costs, gross margins coming in a little better than expected. And is that coming in faster than you think? And how is that impacting? One of the big questions we get is just generally on the competitive landscape and how AI is evolving that? What are you seeing there?
Luis von Ahn Arellano: Okay. In terms of cost, look, costs are coming down. They've come down just without us doing anything, costs are coming down. For us, this has not been the top priority of optimizing costs. At the moment, the top priority is just making the best possible experience for our users that teach us the best and that is the most engaging. Every now and then, if we see low-hanging fruit we will -- in terms of optimizing costs, we will do it. But it's not like we have all of our people trying to optimize cost. And the reason we can do that is because most of our AI features, at least the ones that cost the most money are behind Duolingo Max and because the price of that is high enough that we're -- for us, the usage of AI is anyways profitable. So that's why we're not going -- not trying to optimize the cost on that. In terms of the competitive landscape, I think people say things like -- the 2 things that people say about the competitive landscape with AI are: number one, why would anybody want to learn a language with Duolingo when you can just learn it with ChatGPT. Okay. We're not particularly worried about that. We've said it before. The main thing that we do really well not only do we teach well, but the main thing that we do really well is keep people engaged. And in order to learn a language, you need to be engaged for years. It really takes years to learn a language coming every day and we need to keep you engaged actually doing it. And not only that, we also need to have curriculum for years for you to do that. So with ChatGPT, you can go there and you can ask it to teach you a few words here and there, but it's not like you can have really curriculum for years that teach that. So we're not particularly worried about that aspect. And then the other thing that people have said that they're worried about is, oh, well, nobody is going to want to learn a language because we're going to have simultaneous language translation and okay. Also not worried about that. I believe in 100% of the Google I/O conferences over the last 10 years, they have showcased simultaneous language translation. They do it every single year, and it's good. It works. But this has been happening for the last 10 years, and we have not seen the desire to learn a language go down at all. In fact, it has come up. And I think the biggest reason for that is because if you look at our users, they fall into 2 big categories. One big bucket is people who are learning a language as a hobby. It kind of doesn't matter whether our computer can do that because -- they're the same with chess, by the way. Computers are way better than humans at chess, but still we have millions of people wanting to learn chess. So it doesn't matter if it's a hobby. The other big group of people that are learning a language with us are people who are learning English and they actually want to learn English. Like that is -- for them, being able to have like a phone that they have to hold out, it's just kind of -- that's not what they want to do. So we just -- we're not particularly worried about that. It just so happens that people like to tweet about that. We're not worried about it.
Matthew Skaruppa: Just a couple of points on that. Since we -- the AI costs and Max, just to make sure everyone's aware, Max is now 9% of our subscribers. It doubled in Q3 year-over-year in terms of bookings. So it's clearly doing well in that regard. It's underperforming our lofty expectations for it, though. We expected a bit more than that. And so that's why Luis is talking about guided calls and all the other things we're going to do to help it achieve what we think it can achieve. And then finally, because AI costs have come down, though, I don't want folks to take away that we're not willing to invest as Luis is talking about the seminal moment we're in to go attack a very large opportunity. We're -- we've shown that we can grow to this scale incredibly profitably. We're guiding to a 29% adjusted EBITDA margin for the year, which is very, very close to our long-term adjusted EBITDA margin range. And so as we do that, we are not going to be afraid to invest in innovation. And so we're going to make those investments over time.
Operator: Your next question will come from Mark Mahaney with Evercore ISI.
Mark Stephen Mahaney: Okay. A couple of things I wanted to go through. One, I know you had some price actions or price increases earlier in the year. Have you -- what kind of reactions have you seen to those? Secondly, I think you were going to hold off on doing any other -- I think it was just on like new people coming in on the standard plan, but your thoughts on rolling out other price increases. I don't think you're going to do that now given your prioritization of user growth in the fourth quarter and beyond, but just talk about that. And then third, just so we're clear on the deceleration in bookings and revenue growth in Q4 is largely due to the fact that you're going to sort of slow down the conversion rate from free to paid and really just focus on user growth. I just want to make sure that that's the main driver, and it's not like you're seeing a reduction in retention amongst paid subs, higher churn amongst paid subs possibly because of the price increase.
Luis von Ahn Arellano: I mean I can take some of those. I'll take the last one. Yes, the change in Q4 is pretty much because of the shift to go to longer-term initiatives. And that means user growth and also spending some of our -- not only are we prioritizing user growth, we're also spending relatively more effort, shifting some effort to teaching better which we're taking some of that from our monetization efforts. So that's basically what you're seeing. And it's not like a humungous thing, but it is a shift. In terms of price increases, you'll see us -- we'll be testing prices. We'll be testing all kinds of things. And we will see us launch the things that we think are good for the whole platform. I don't know exactly what's going to win, but you'll see us test prices. And by that, I mean up and down. We'll probably test some prices much lower or a package -- and this I'm speaking about things that we may do, but I don't know if we'll end up doing them if we don't like the results. But we'll probably do a package that is like half price, that is like super light. That's the type of stuff that you may see us do.
Matthew Skaruppa: Yes. And Mark, just to round it out, I think 2 points. One is, we've talked a lot about taking price up as a price point every now and again, we do that. Luis just said, we're going to continue to experiment with that, and that will continue to happen. ARPU has gone up this year, every quarter, kind of mid-single digits. That's also reflected in the guide and that's mainly come more from Max than it has from price point changes. I will say that we did take pricing at various times over the past a little bit and that does influence our ability to discount during our one and only discount of the year. So again, if you have a higher price, you can run different experiments with the level of discounting and one of the things that happens every Q4, when we talk about it, as we talk about the ability in our Q4 bookings guide because Q4 is our most variable quarter because we run this New Year's promotion. This year, we did energy, which is a core pricing mechanic, and we have never run a New Year's promo with energy. And so we're going to be experimenting with all sorts of things as we get towards the end of the year with the promo on how we run it, how we show it and display it, when we run it, all of these type of things. So that is also baked in here in the guide.
Operator: Your next question will come from Ryan MacDonald with Needham & Company.
Ryan MacDonald: Luis, maybe stick with me a little bit on this question. I apologize in advance. But how learners -- people learn differs by generation and by demographic. I think we've already seen that with sort of advanced English learners require -- meeting different requirements from Duolingo than maybe the traditional core base. So can you talk about how -- or if you are going to be targeting certain demographics, Gen Z learns or generations, Gen Z seemingly learning different than millennials with some of these product updates? And then how should we think about the metrics that you will be looking towards to prove out this works? Because obviously, user growth can be beneficial -- can be benefited by some changes, but that might not always mean that, that sticky user growth where MAUs might not always convert to DAUs. So again, long-winded question, I apologize. But how are you targeting or what are you targeting in terms of these changes? And then how are you measuring success?
Luis von Ahn Arellano: Yes. I mean you asked about -- it's true. Some people learn different than others. That is true. But you would be surprised that there are a lot more similarities than differences. The reality is, I mean, this is not just generations, also geographically. I mean we always hear these things about like, "Oh, well, people in that country do that or people in that country do that." What we have found time and again is that not only a lot of people learn pretty similarly, also the things that get people to use the product more are pretty similar across the geographies. I mean like a streak, it works in every country or it's just -- so there's a lot of similarities. So at the moment, you're going to see us just make a better course for the masses that's what we're going to be spending most of our effort on. Of course, the courses do adapt to each individual and probably one of the places where there is most adaptation that is needed is the pace of learning really is different. And it just happens that as you get older, you get slower. That is just -- that's not controversial as somebody who's getting older and slower, I can tell you that. So the pace -- but that's very easy to adapt. We're just -- we really do just adapt to the pace pretty easily, and we've been doing that for a while. Now in terms of the metrics that we're going to be looking for, certainly, user growth is an important metric that we're going to be -- that we're really keyed in on right now, probably the most important metric in the company. So we're going to be looking at that a lot. Now the thing about improvements in teaching, and this is what I was saying before, they don't translate to user growth immediately because if you improve a course and it's much better, over time, maybe people are starting feeling that they're learning a little better, so there's more retention or maybe there's more word of mouth because the people are saying like, it really works for me. Let me tell you about it. So it does translate. We know that improvements in teaching do translate to user growth, but it's not immediate. And this is kind of what we mean by long term. What we're going to be looking at that, there are things like just improvements in learning outcomes, we can measure how well people are learning. And the good news is that really almost every year -- since we started measuring that every year Duolingo is actually teaching better than the year before. We're probably going to see improvements in how well we teach, move faster than in the past because we are taking it -- we're spending more effort on it. So we're probably going to be seeing that and our hypothesis, but it is a hypothesis that I very much believe in, is that, that will translate to user growth. It's just not going to be linear or quick.
Ryan MacDonald: Makes sense. Okay. And I'm also older and slower, Luis. So no problems there.
Luis von Ahn Arellano: Aren't we all? Aren't we all? But wiser, but wiser.
Ryan MacDonald: We hope. We hope. Matt, I know you probably don't want to obviously get into a conversation about 2026 guidance or anything like that. But obviously, a lot of course investments, a lot of content investments. Can you just give us a sense of like the magnitude we should expect here? And like is there an expectation still that you can continue to expand EBITDA margins even through this process as we think over the next couple of years?
Matthew Skaruppa: Yes. No, I appreciate Ryan. And even though you asked a very [indiscernible], I'm not going to guide to 2026 on this call, we'll do that in February. But I will -- and I mentioned this on an earlier question, we have made incredible progress towards our long-term margin while we've been growing the platform to a scale that has 135 million monthly actives, and we guided to nearly $1.2 billion of bookings this year. So we've [indiscernible] everyone that we can scale the business, operate with discipline and expand margins. And that's great. And we want to continue to do that. And we're going to continue to operate with discipline and grow the business along the lines of what Luis is talking about, hopefully to a whole other order of magnitude. While we do that, though, we're not afraid to invest. We think we can invest and still operate very profitably. But we are not going to prioritize linear margin expansion from here when we should be -- we view the opportunity is so big, so we can prioritize investing. That's how we think about it.
Operator: Your next question will come from Andrew Boone with Citizens.
Andrew Boone: I'd love to talk about kind of a topic that we've revisited maybe 2 or 3 years ago, right, in terms of advanced English learners and basically the improvement of efficacy driving those learners to the platform and kind of like whether AI has accelerated that and whether some of that thesis came to fruition and whether any of the slowdown in growth is impacting those types of learners. Or is there anything else you can kind of speak to in terms of that cohort?
Luis von Ahn Arellano: Yes. As we mentioned -- I don't know whenever it was, a couple of years ago, we started talking about this. English learning is a major opportunity. I mean this -- 80% of the people who are learning a language in the world are learning English. And so we started investing in teaching better for English learners. We have done that -- we've done a major launch here throughout this year. Now all of our English courses now cover up until Duolingo score 130, which is the place where you can get a job -- a knowledge job in that language. So we have that, and we've been improving how well people learn English and we are seeing that in the metrics, our number of English learners and certainly a number of advanced English learners has been growing steadily. The other thing that I'll say is that the regions at the moment that are growing fastest are English learning regions. And so we're seeing that Asia is a really good example of that. There's -- we are certainly still posting or have never stopped posting unhinged content in Asia kind of from the social media side, but also we're just getting a lot more users there. So that's the parts that are growing the fastest. So I'm pretty happy with the progress there. We did mention that it was going to take a while, and it is taking a while for really the word to get out that Duolingo is very, very good at Advanced English and so while I believe that we've made good progress in that, we're still not there yet as this is a thing that even throughout next year, we're going to be seeing an increase in the number of advanced English learners that we're going to have.
Andrew Boone: And then can we just get an update in terms of family plan? I know there were a bunch of features that you guys were adding and then just broader adoption, where are we today? And where can that go?
Matthew Skaruppa: Yes. Yes. In terms of broad adoption, the Family Plan continues to do well. I think it was about 29% of subscriber [indiscernible] in the most recent quarter. So it's grown nicely. And I think there's a bunch of reason to believe that it's going to continue to grow nicely. For example, last year -- in Q4 of last year, really everything basically went right. which is why we grew so fast last year, I think, 42% year-over-year last year. Part of that was that the family plan during New Year's promo did really well. So there's reasons to believe that we still have room to run on Family Plan, Andrew.
Operator: Your next question will come from Justin Patterson with KeyBanc.
Justin Patterson: I'd love to hear a little bit more about just learnings from energy. There was a lot of optimism on this product, roughly 90 days or so ago. So I would love to hear how just that has evolved and might be playing into some of the trends we're talking about on this quarter. And then when we think about just the arc of reacceleration here, how much of this is really dependent on getting the product right versus really tapping into that cultural relevance that Duolingo had earlier this year and then and encounter that speed bump around the social backlash?
Luis von Ahn Arellano: Okay. So energy, we're very happy with energy. It did exactly what we wanted it to do. It increased bookings and also increased DAUs. So that was good. The kind of the way it went is we launched all of energy for our iOS users first, then for Android. We rolled it out over a span of a couple of months for each one of these platforms. By now, it is done. We have, I don't know if it was a couple of weeks ago, we have every single person who has updated the app in the last, I don't know, 6 to 9 months has energy in there. And we're very happy because it did exactly what we expected it to do, and it's been launched. Now in terms of -- you asked a question about product versus kind of marketing, look, both are important for us to grow, product and marketing. The longer-term thing is if we have a product that is extremely retentive that also teaches really well, that's the best thing you can do, and that's where we spend most of our efforts, and we're going to continue spending most of our efforts on that. Yes, the cultural relevance matters. But to me, that's just an accelerant to something that is where the main dish is the product. In terms of kind of being culturally relevant, et cetera. We really are seeing a complete pickup on that. I don't know if you've watched, for example, the things that happened in Halloween. I mean there were throughout the world, certainly, there were thousands of Halloween costumes that were just Duolingo costumes. So we see that -- we're seeing that quite a bit. And so we're not particularly worried about that.
Matthew Skaruppa: Yes. And the only thing I'd add to that, Justin, is there is -- we talked about it on the last call, which is we've had some success, particularly in the U.S., spending a little bit more on actual marketing, seeing a nice return in the U.S. in particular. And so that happened in Q3, and we're going to -- it's relatively small dollars, but we're going to continue that into Q4 because the U.S. growth, as we've talked about before, is slower than the rest of the world, in part because of the rest of the world. is growing really rapidly. But that continues. And so that's just the other element we'd add to the marketing mix.
Operator: Our next question will come from Shweta Khajuria with Wolfe.
Shweta Khajuria: I actually have 2. First one is on China. If you could please talk about how engagement has trended in China through the quarters, through the year and what your expectations are, what you're seeing there? And even if you could comment on likelihood of Max there this year or next. And then second is on renewal rates at Max in particular. Could you please talk about how that trended in Q3 so far and what your expectations are?
Luis von Ahn Arellano: Okay. Let me take the China one, and then I'll let Matt take the renewal rates one. Okay. China. We are, of course, doing very well in China. I believe it's our fastest-growing country. It is our second largest country in terms of DAUs and growing fast. It's still not that large of a fraction of our business, it's about 5%, 6% of our business at the moment, but it is growing, and it is growing very fast and the engagement is very high, retention is high. Max in China is being tested at the moment. And so we have the permission to test it in China because of this is an LLM you need to get permission to test this. So it is being tested. And so this is going to launch in some number of weeks or months, it's hard for me to tell you exactly because it does depend on approvals, but it's moved along pretty well. So what I'll say at the very high level about China is that it's a pretty major opportunity for us. But of course, China comes with a risk. There's geopolitics, et cetera. So the way we're treating it is we're not spending a crazy amount, for example, in marketing in China. We're spending a very modest amount there, but we just happen to be growing quite a bit. So it's nice and it's a really nice opportunity. But if at any point in time something happens, we just didn't end up investing all that much there. That's kind of how we're treating it. And then I'll let Matt talk about Max renewals.
Matthew Skaruppa: Yes. So just to put it in context, Max renewals are important, but the broader -- I think there was a question earlier on broader platform retention. That remains strong, no real changes in that. And then on Max, in particular, we mentioned in the last call that we were going to start to see in Q3 and then in Q4 larger cohorts come through the Max renewal cycle. And what we saw is that Max right now, again, there's still small as they've been ramping up, but was renewing slightly better than Super. But it's early, and Q4 is relatively a relatively sizable cohort. So we'll talk about this again on the next call.
Operator: Your next question will come from Hanyi Cai with CITICS.
Hanyi Cai: It's so good to have you connected. And it's really excited to hear the last question from like Max is finally rolling out in China. And I'm going to expand that question a little bit further because geographically, you see -- you saw that China was the fast-growing country in the past quarter. And for this -- in this quarter, you talked about like growing more users. So what geographically would you think -- like which country do you think like -- or which region do you think will be most potential to grow in the next quarter? And my another question is related to your Duolingo score you published in this year's score count because like that was related to the efficacy. And so I'm wondering like how do you think that this kind of efficacy measurement relate to the core user performance metrics? And how -- will that be like the key motivation for you to grow the users in the next quarter?
Luis von Ahn Arellano: Yes. Thank you for the question. So region-wise, the fastest-growing region as a region is Asia for us and we expect that to be true for a bit. I would expect that's going to be true. I don't know the future, but I would expect that to be true for a bit. And certainly, China is leading that, but it's not just China. It's basically all of Asia that is growing pretty fast. In terms of the score, we're very excited about the score. Our announcement was that first of all, all of our major language courses now have the Duolingo score. And also you can share the Duolingo score on LinkedIn. We're seeing quite a good number of people sharing their score on LinkedIn. And so that really means they're using it kind of for job purposes and we have that -- the score there. The score also is in the same range as our Duolingo English test, at least for English learners. And English learners are the one that would care more about a score like that, particularly English learners in Asia are the ones that would care more about a score. So we're very excited about that. And it is something -- the ultimate goal for it is to become the proficiency standard for at least the major languages and certainly for English, where rather than when people ask you how much French do you know or how much English do you know at the moment where people say it's like, "Oh, I'm intermediate." We want people to say, "I am a Duolingo 60 in French or I'm a Duolingo 80 in English." That is what we want. And we think we're making pretty major progress. In the case of the score, particularly for English, the Duolingo English test is now accepted by over 6,000 educational institutions in the world, including all, Ivy League universities and also the 99 of the top 100 universities in the United States, accept the Duolingo English test. So we think the combination of that prestige plus the large scale that we have in the app plus doing things like sharing with -- on LinkedIn will hopefully get us to be the standard for proficiency.
Hanyi Cai: Okay. And one thing is that we are not using LinkedIn that most like in China. So we are really hoping to like connect it to another social media platform [indiscernible].
Luis von Ahn Arellano: We are working on that. I can't really give you details on that, but we are working on -- it's not just going to be LinkedIn that we have the score on. We're working on that.
Operator: I'm showing no further questions, and this concludes the Q&A section of the call. I would now like to turn the call back to the host for closing remarks.
Luis von Ahn Arellano: Thanks, operator. I'd just like to thank everyone for joining us, and we look forward to seeing you on the next call.